Operator: Good day, everyone and welcome to the Streamline Health to report First Quarter 2017 Financial Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Randy Salisbury. Please go ahead, sir.
Randy Salisbury: Thank you for joining us to review the financial results of Streamline Health Solutions for the first quarter of fiscal year 2017, which ended April 30, 2017. As the conference call operator indicated, my name is Randy Salisbury. I'm the Senior Vice President and Chief Marketing Officer here at Streamline Health; I manage all communications including Investor Relations. Joining me on the call today are David Sides, our President and Chief Executive Officer; and Nick Meeks, our Senior Vice President and Chief Financial Officer. At the conclusion of today's prepared remarks, we will open the call for a question-and-answer session. If anyone participating on today's call does not have a full text copy of the release announcing these results, you can retrieve it from the company's website at streamlinehealth.net or at numerous financial websites. Before we begin with prepared remarks, we want to be sure we are clear for everyone on the record of certain information which maybe provided today as with all of our earnings calls, should be viewed. We therefore submit for the record the following statement. First, statements made on this conference call that are not historical facts are considered to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These are subject to risks, uncertainties, assumptions and other factors that could cause actual results to differ materially from those we may discuss. Please refer to the company's press releases and filings made with the U.S. Securities and Exchange Commission, including our most recent Form 10-K Annual Report for more information about these risks, uncertainties and assumptions and other factors. As always, we are presenting management's current analysis of these items as of today. Our participants on this call should take into account these risks when evaluating the topics we will discuss. Please note, Streamline Health is not undertaking any commitment or obligation to publicly revise any such forward-looking statements made today. Second, we will discuss non-GAAP financial measures such as adjusted EBITDA. Management uses these measures to help provide better insight into our financial performance. However, certain items of income and expense are not included in these measures, so these calculations may differ from those which another entity may reach using their own non-GAAP measures. To help you compare these amounts on consistent terms, please refer to our website at streamlinehealth.net and our earnings release for a reconciliation of such non-GAAP measures to the most comparable GAAP measures. With that said, let me turn the call over to David Sides, President and Chief Executive Officer. David?
David Sides: Thank you, Randy, and good morning everyone. This earnings call marks the change in our approach to communicating with our shareholders and we hope that you find it more convenient for you. Since our fiscal quarters are one month later than the norm, we felt moving our calls to mornings following the publication of our financial results the night before might be a better methodology. Further, we've added some visual representation to our presentation today and we plan to continue this in future quarters if you find this helpful. Please let us know what you think of this change in our earnings release process by contacting Randy Salisbury directly. This morning, I want to comment on our first quarter performance, take a look at our second quarter performance to-date, and comment a bit on what we anticipate seeing for the remainder of our fiscal year. As released yesterday afternoon, for the first quarter of fiscal 2017, we generated revenues of approximately $5.9 million, a decline of approximately 7% from last quarter. We projected a decline in our Q1 2017 revenue and our Q4 earnings call several weeks ago as a result of the impact of last year's client attrition and continued challenges in predicting timing and perpetual license contract execution through some of our channel partner relationships. In addition, we had an expected revenue reduction in the trade from selling our scheduling solutions versus adding new code auditing services. With these adjustments from Q4 to Q1 behind us, we believe we have arrested the downward revenue trends, and in a few minutes I will discuss why this will be the case. Recurring revenues were 83% of total revenue for the first quarter, about the same as last quarter. Turning our attention now to professional services; revenues were approximately $420,000 in the first quarter, a decrease of approximately 20% over the last quarter. This was primarily due to the completion of a number of upgrades to our ECM solution at the end of Q3 and deferred recognition of implementation work for several other implementation efforts in play. Our bookings for the first quarter of 2017 consisted primarily of smaller coding audit services contracts with a notable exception, a very large hospital system signing on to use our Streamline Health CORE, our coding opportunity report engine auditing [ph] technology. This contract was smaller as well but has the potential to grow and more importantly, to sell our eValuator solution into their system. The upside to these new contracts is that they are with new clients for our company. Downside is that the contracts are smaller than our average software deals and thus the bookings number was below our expectations. That said, we believe we can increase the revenue generated from each one of these new clients during this fiscal year and beyond. New logos are important to any company, we are pleased to be winning new clients. So far, we have signed new contracts with new clients such as Avanti Hospitals, Panacea Healthcare Solutions, and DentaQuest in Q4, HRS Coding and Huntington Memorial Hospital in Q1, along with three new resale agreements; and through the first five weeks of Q2 we've signed Union General and Aurora Healthcare and expanded our relationship with Northside Hospital located here in Atlanta. We need to win more business going forward and we believe we will. More on that in a minute. Our bookings projections improved in the coming quarters and we continue to believe we will see new bookings from existing and new reseller partners, especially with our abstracting solution; some of which we expect to be in the form of perpetual licenses. This component of our revenue remains an integral part of our 2017 guidance. Adjusted EBITDA for the first quarter was a negative $400,000 as compared to approximately $500,000 last quarter. The reason for the decline in adjusted EBITDA was primarily due to decreased revenue and number of annual expenses that fall in the first quarter, not least our financial audit which has all its expense taken in Q1. In GAAP terms, our net loss for the first quarter was $2 million. This compares to last year's performance when our net loss for Q1 was $1.5 million. Nick Meeks, our CFO, will address these items more specifically in his prepared remarks coming up in a few minutes. As stated last quarter, reducing operating costs, generating incremental cash flow, and reducing our level of bank debt is something we focus on every quarter. At the end of our first quarter this year, our cash on hand decreased from last quarter to approximately $3.6 million which is normal for our business as our uses of cash in the first quarter of every year exceeds sources. We anticipate that the amount of cash on our balance sheet will continue to increase in subsequent quarters. Debt remains at a similar level to Q4 of $5.7 million. We stated in April that we have sharpened our company's focus to better help our clients and prospects with the middle of their revenue cycle processes. The strategic shift via acquisition and divestiture we made in the second half of last year has enabled us to do this. Our primary decision makers, CFOs, revenue cycle and HIM Directors are under increasing pressure to improve the organization’s financial performance by being more accurate and efficient in coding and billing functions. In essence, they need to get all their patient encounters coded correctly in order to capture accurate reimbursement for the care they delivered to each patient and they need to do so quickly to improve their cash-on-hand and decrease their overall timeline of cash generation after care is rendered. Last quarter, I shared some facts with you that frame the pressure our target buyers are under. For example, medical coding inaccuracy contributes to revenue loss by neglecting the properly code for chargeable medical services, as well as increase in the likelihood of denial or delay in payment. As many as one in five claims is denied or delayed, which can equate to as much as 3% dip in a healthcare providers revenue stream. A $1 billion institution therefore can lose or delay receipt of upwards of $30 million annually. Recent data suggests that coding accuracy plays a material role here. The centers for Medicare and Medicaid services, CMS, reported a 10% of Medicare fee for service claims submitted are denied with many of those denials resulting from invalid codes or incomplete or invalid information. With the widespread interest we have experienced since launching in February, our new cloud-based pre-bill accuracy solution, we call Streamline Health eValuator; we see ourselves as leading an industry movement, improved hospital’s financial performance by helping them move their mid cycle revenue interventions much earlier in the process. In fact what we are offering our clients and prospects is a better way to manage their revenue cycle process entirely; let me explain. Today almost every hospital in the country determines a level of coding and payment accuracy after the fact by conducting post-billing audits. These retrospective audits are often comprised of cases selected randomly that at best only look at 1% to 2% of all coded billed patients encounters. From this limited look back, hospitals try to close accuracy gaps and maintain CMS's inpatient coding accuracy standard of 95%. New hospitals reach that goal today at this post bill audit practice is the accepted method throughout the industry. We believe like many other business practices that were the acceptive way of doing business feel they weren't but its pass-time for our industry to change this post-bill audit practice. Our Streamline Health eValuator solution enables hospitals to move accuracy evaluation from the back to the front of the cycle. Before any patient record is released for billing, the solution is able to score the accuracy and financial implications of inaccuracy for every encounter rather than a sampling using a sophisticated set of algorithms and rules. And as important, Streamline Health eValuator provides the decoder immediate feedback that can help improve ongoing coding accuracy and coder education, reduces incorrect payments and denials and mitigates potential risk. It allows the client to better identify correct trends and patterns encoding and clinical documentation practices, and yet achieve performance improvements and sustain revenue cycle best practices. By running every claim coded through the eValuator solution prior to transmission, healthcare provider can add an entirely new level of automated coding review identifiers with the speed and consistency of automated software versus human eyes. And with artificial intelligence our solution continues to get smarter overtime as the underlying rule-set is continually updated both for new coding releases and to broaden the scope of potential errors discovered. We think this is the real differentiator for us in the marketplace. The benefits of this industry movement to automated prebilling are many and easily measured. Our eValuator solution enables hospitals cut their days or AR, improve their cash-on-hand, reduce their days not final billed or DNFB, reduce the number and dollar amounts of patient bills being denied by payers and reduce the need for post-bill audits. This is why we are pulling the phrase, transforming revenue cycles in the revenue streams. As stated in our press release yesterday, our pipeline activity for our new Streamline Health eValuator solution has been very encouraging. Since launching eValuator in February at HIMs, one of our industry's largest tradeshows, we have meet with and presented nearly 50 current clients and new prospects interested in the benefits of our solution. We've had active conversations, demonstrations, and even some pilot programs with half dozen. In many instances, we show prospects the power of the Streamline Health eValuator technology by analyzing previous billing cycles to show them what they may have missed in terms of under billing or where they may be at risk for overbilling. Here is a specific example. In this analysis, we took six months of billing data for six different facilities for our large Mid-Western Health Hospital System. More than 25,000 cases were run through eValuator. We found more than 5% of all cases had potential coding issues. Every facility had under billed and overbilled during the six months we studied. On an annualized basis, these six facilities had left nearly $5 million on the table; and as is importantly, it overbilled payers by more than $2 million exposing the hospital system to the risk of audits and financial penalties. We have yet to find a prospect that couldn't benefit from this approach, prebill auditing using Streamline Health's eValuator technology. Today we're in active contract negotiations with multiple healthcare systems and anticipate closing our first of several new contracts in this quarter; and these efforts are limited to inpatient records. By this fall we anticipate expanding Streamline Health eValuator's capabilities to include analysis for hospital outpatient code, auditing as well; which we believe will double the size of our potential market. We also have the opportunity to offer our Streamline Health eValuator solution with our base-coding audit services package which includes our Coding Opportunity Report Engine or CORE, audit workflow technology and our coding audit services. In fact one fast way to market for eValuator is to initially provide clients with the base-coding audit services package; and then to upgrade them to eValuator as an additional solution. Hospital systems today have hundreds of thousands of patient bills annually, often with a highly manual review process. We can help them improve the handling of every one of them. I want to remind everyone that this is healthcare IT we're talking about, and this industry typically has a longer sales cycle than most industries; often at a year or even longer when it comes to acquiring new technology, help them run their operations better. Given that we've only been in the market with our new Streamline Health eValuator solution for just under four months, we are very pleased with the reception we have garnered and we believe that we will see our closed rate of new contract accelerate to get the first couple of wins under our belt. I will now turn the call over to Nick Meeks, who will provide greater detail on our financial results for this first quarter. Nick?
Nick Meeks: Thanks David, and good morning, everyone. As always, allow me to begin by thanking my own team, the whole of Streamline Health and our auditors for a smooth reporting effort. Beginning with income statement, David already covered revenue and EBITDA. I would first note that equity-based compensation was the only material adjustment to EBITDA in the quarter. Expense management continues to be a focus within Streamline without adjusting for the net impact of the acquisitions and divestitures at the end of last fiscal year we reduced overall expenses by approximately $250,000. Eliminating the impacts of the strategic transactions, expense savings are closed to $500,000. The approximately $2 million of net loss for the quarter year was driven primarily by the approximately $1.7 million of non-cash expenses such as depreciation, amortization and stock-based compensation. Moving on to the balance sheet, we finished the quarter with approximately $3.6 million of cash-on-hand. Our cash cycle is dominated by annual renewal invoicing that is highest in the fourth quarter and lowest in the first quarter. Given that, we traditionally experience a use of cash in Q1 as we did this quarter. I fully expect that number to build slightly over the next few quarters and peak again at the end of the fiscal year. I would note however, that we will make an additional $500,000 debt principal prepayment in the fiscal second quarter related to the divestiture of the scheduling solutions at the end of last year. With respect to cash flow statement, it was primarily shaped by the same annual renewal cycle I just mentioned. There is not material capital expenditure beyond our normal software development cost. I would note that the retirement of capital leases is paying a cash dividend to the business as the use of cash and servicing capital leases is down 85% over the same period last year. With respect to future visibility, backlog decreased over the end of the fourth quarter by approximately 5% or $2.7 million to $47.9 million. As I did on the last call, I would also note here that due to the variable nature of some of the audit services engagements, we only record in backlog those agreements with clearly definable backlog terms. That concludes my remarks and I will now turn the call back over to David Sides. David?
David Sides: Thank you, Nick. I spoke a great deal about our new Streamline Health eValuator solution in the first part of my prepared remarks this morning. I want to be clear that we believe our entire suite of solution and services delivers great value to healthcare providers today and tomorrow. Our company provides seamless workflows that help our client's bridge from patient care through to billing. We don't automate routine activities that provide mistakes with adaptive technology to stay a step ahead of regulatory requirements and clinical innovations. Our services and solutions help hospitals ensure that their clinical data is accessible for [indiscernible] billing with technology like our Streamline Health abstracting solution that to-date is completely using our Streamline Health clinical documentation improvement and position query software that it's as accurate as possible as relying on our Streamline Health CORE and Streamline Health eValuator technologies; and that we are continually improving by virtue of feedback from coding audit services. I mentioned earlier that we have some very good reseller partners as part of our go-to-market strategy; several of our major players in the health record space. Through these companies we sell our abstracting solution. One of them also resells our physician query product as well; large, well known healthcare IT providers such as these face the normal buy, build, or resell challenge when it comes to expanding their product offerings. We are proud that they have found our solutions to be the best in the market and are reselling them to their current and future clients. As our relationships with partners grow, I will remind you that some of them are still new. We believe that our partners will deliver sizeable revenue growth for us, especially given that several sales solutions predominantly on a perpetual license basis. Further our strategy is to rely our reseller partners with new solutions that our industry needs. We are excited about the opportunities that both our Streamline Health CORE and Streamline Health eValuator technologies have in fulfilling this strategy. With these solutions and services at our disposal, we can lead the industry movement I have mentioned earlier. We can drive [ph] CFOs and revenue cycle managers and HIM Directors how to be more accurate and efficient; and in so doing, how to make their physical health better so that their institution can focus on providing better healthcare to the people in their communities. That concludes my prepared remarks but before turning the call over to the operator I want to thank our Streamline Health associates for their continued hard work and dedication to our clients, our shareholders, and to each other. I will now turn the call over to the operator for our Q&A session. Operator?
Operator: [Operator Instructions] Your first question will come from Matt Hewitt with Craig-Hallum Capital Group.
Matt Hewitt: Good morning, gentlemen. Thank you for taking our questions and for providing the update. Can you hear me okay?
David Sides: Yes.
Matt Hewitt: Okay, great. First off, I was hoping to dig in a little bit on the funnel; specifically regarding the eValuator solution; and then digging in a little bit on the Allscripts and the Optum opportunities. Regarding eValuator, I think you had mentioned roughly 50 prospects at the top of the funnel; how should we be thinking about length of that contracting phase or how long until we start to see things fall off to the bottom of that funnel and how should we be thinking about the size of the -- or the potential size of those contracts? And then a similar -- I guess set of questions for your two major partners, Allscripts and Optum360.
David Sides: Yes Matt, I think we'll see eValuator sales this quarter, so I think we'll get our first sale this quarter in Q2. We have a number of clients that are in the contracting phase and so we think from there our goal is to have really good referenceability , so we should have a faster install cycled than our normal enterprise-wide solutions since it's a cloud-based solution; so I think you'll see us contract this quarter for the first one to couple. Next quarter, we'll have more references and see our goals then expand that; kind of another jump with references to a larger set of eValuator clients and then that will kind of just roll forward as we kind of compound from there. With respect to partners, we're working on with one of the partners training their own sales force here this quarter. So we have agreements with each, each has pricing; we have marketing materials for each, so we're really just starting that go-to-market phase with both. With one we're working on a potential expansion to a larger group of their clients to sell to that we'd like to get close the next couple of months and then an expansion from there. So those relationships are both mature. On the Optum side, we've been working together for some time, we've deployed many hospitals together. And then with the Allscript side, new -- and that we just signed that arrangement here recently. So you know, we're just -- in the early innings with those guys, we think that one of the very attractive things with both is that they have existing client relationships who can shorten the sales cycle by not having to come up with a new contract and go through a long legal process but instead have an order form to move forward additional modules with them. So hopefully that answers your questions. If not, I'll pause there and we can kind of continue to talking through.
Matt Hewitt: No, that's very helpful. I guess just a little bit of a follow-up on the eValuator funnel; how should we be thinking about contract sizes and maybe what type of variability should we anticipate whether you're dealing with a small hospital versus more of a larger community based or health system -- maybe with several or more hospitals; variability for the contract size, I guess?
David Sides: So, you know, from a really small hospital it could be a small number up to $300,000 to $400,000 per year for a larger system. I think it's a way to think it through -- the value it provides is pretty great ROI for clients, so we want to be sure they are getting multiples of our price and they are when we've run through their data with clients so far, some of the examples we've showed in our -- kind of prepared remarks give an idea of it. We view the risk and the reward kind of similarly, and that you're looking for accuracy and we think we have a real differentiator on how to improve accuracy for inpatients, sooner outpatient. We give advice, we do things prebill which we think is a good differentiator and that you can change it before you submit it; and you're not subject to the 60 days resubmit that you have with Medicare which if you don't resubmit you don't get the money as a provider. So getting that upfront is really important and it reduces how many they actually resubmit, which is also tracked; so -- by the rack auditors. We think there is a lot of things here that are really attractive but if their contract size is in that range, and I'd note that we've talked to our partners and so far we don't -- what we want to do is sell eValuator ourselves, get it implemented, get it upticked kind of scale, and then introduce it to our partners if they are interested which would be another kind of accelerant in the latter half of this year if they also are interested in that solution and possibly offering it to their clients directly.
Matt Hewitt: Okay, great. Maybe one more for me and then I'll hop back in the queue. Regarding bookings, how should we be thinking about the ramp over the remainder of this year? I think you've mentioned you've already closed a couple of deals already here in the second quarter but will the $500,000 from Q1 -- you get back north of $1 million maybe in Q2 and then accelerate as the year progresses, given the opportunity with eValuator and with these partners or how should we be thinking about that? Thank you.
David Sides: Yes, I think that's fair. The $0.5 million is clearly disappointing, I think we'll do over a $1 million this quarter. Q3, we'll see -- it will depend someone on the reference success and how our partners ramped but our goal would be kind of a double or double and then move up from there as we kind of get to market and give reference ability. It's a good market, it's an exciting market, that's why things progress through the prospecting phase more quickly than maybe our traditional products and that it's little more green space and not a replaced market but a new market which is really exciting from a sales perspective. Thanks for the questions, Matt.
Operator: From First Analysis we'll hear from Frank Sparacino.
Frank Sparacino: David, maybe just smalling up on eValuator and some of the sales cycle discussions; can you just talk about what you think the biggest short-term obstacle is? I mean it sounds like references is an important milestone for you and all security is about just the current environment in terms of -- obviously hospitals have been extremely challenged which on one side maybe a positive but clearly negative in terms of getting hospitals and spend money on IT at this point. So any thoughts there?
David Sides: Yes, Frank. So we try to view this not as an IT project, so we're trying to view this as a revenue cycle project. I would say one of the reference ability is clearly for our ability to scale on the prospecting to sign client phase, I would say one of the barriers we found is how you get into the whole system. So if you're going in through our traditional HIM coding, you're essentially saying with this really good ROI that their accuracy could be better. So you have a little bit of a problem there saying, you know, it could be better but not that you personally are doing not an ideal job but that your systems could be better with our support. And you come in through the revenue cycle directly, say the VP of revenue cycle; they immediately get the ROI and say, yes, these look like real dollars after they check a few charts; and I think those discussions go more quickly. So we've learnt that in early phases that if you come in through coding, you're essentially -- you could be more accurate, here is a way to do that; it's a sale process, it works. But if you come in through revenue cycle and say I can offer you an immediate revenue uplift and it looks like this and this is what it looks like in your last 60 or 90 days, this is the material difference it would make to you and you reduce your risk as you overbuild and you would need to repay the government; by this amount, people really get that and that resonates with them more quickly where we've entered a health system through that channel. I would say we've seen a faster process to-date and so I think references will be key to scale; I think now that we know that the ideal buyer is the revenue cycle, responsible owner, certainly for the middle -- that helps. So I think we now are more targeted in how we're approaching that marketplace knowing that a true ROI story, especially on revenue works. I mean if someone came to me with an ROI story for revenue, I'd be really excited; cost, you know, you hear about those all the time but it actually drive more revenue. By increasing your accuracy, I think it's a good differentiator and something people are looking for -- pose meaningful use to try to look at how do I get more value from these investments.
Frank Sparacino: So it's helpful David, and maybe lastly for me. If you look at the sales pipeline you have today; can you give us a sense just to -- you know, the different product categories in terms of the contribution, it sounds like a lot of the work obviously -- or prospects are in the eValuator bucket but -- any comments on the other parts of the business will be helpful.
David Sides: So I would say that the pipeline is largest it's ever been, at least since I've been here; so that's encouraging. It is across still all the solution, so if you look at last quarter, in Q4 we sold one of every solution which is the first time that had happened but clearly the largest number of new clients is coming through eValuator second audit services. Third, kind of our normal coding applications; and then you know, kind of -- from there it's some existing new clients, new clients, it's not -- there is not as much of a pattern but the growth is clearly coming from the middle from the revenue cycle for us in the coding audit services accuracy components.
Frank Sparacino: Great, thank you.
David Sides: Thanks, Frank.
Operator: Ladies and gentlemen, we have time for one more question. From CG Capital, we'll hear from Kyle Davis.
Kyle Davis: Good morning, gentlemen. I just want to start with the CORE contract that you sold into the larger hospital system. Was that contract led with audit services or was that originally a CORE sale that you lead with?
David Sides: We were originally talking to them some of our audit services and then that discussion -- you know, you kind of get into this conversation around what do you do today; you know, so what -- how did your audit services work today; how can we augment that. And you find predominantly manual processes; most of our competitors who do audit services use spreadsheets back and forth and that's one of the reasons we've built this core solution. It's not a massive marketplace because we're really automating kind of an auditing and coding solution but to do it on spreadsheets we think is worrisome from a PHI perspective, from a HIP [ph] perspective, and so we built an application that automate that, make it more seamless. When we get in those discussions, a lot of times clients say, cool; okay, even for my internal audit I need something that would be better in this. So while we're selling audit services, CORE is kind of a drag along and then our -- kind of our goal is to then do some audit services and say, hey, look how much there was to improve, let's put a safety net here with eValuator behind as a lead behind so that you're always evaluating your accuracy before you build. So let's turn you from a post-bill audit services engagement which is what we start with because we're really good at it to a eValuator continuous pre-bill, look at every chart -- kind of an engagement. So we think those tend to work naturally and from there we'd like to say -- and you know, the next thing we could do is, your clinical documentation could be improved; let's put in the clinical documentation improvement project with some software, maybe some services, you know -- and then abstracting, etcetera. So the goal with audit services is really to try to get upstream from post to pre with eValuator that may drag on CORE -- sometimes those are smaller deals but that's kind of how it comes about. [Indiscernible] that came about, it really started with audit services.
Kyle Davis: Okay. So with eValuator being the goal for the add-on, how -- what are you hearing from your prospects as how it compares to your competitor? Is your competitors else [ph] who are pre-bill audit solution or is it only post-bill; what's the type of feedback that you give?
David Sides: There is two primary competitors, most of them are kind of post-bill solutions. Want to have some -- maybe a little bit pre-bill opportunity but other competitors are kind of older architecture so they are not cloud-based, they run in batch after the fact and they don't provide as much specificity around what the coder needs to change or what you need to do to get to something that's more correct or why this is incorrect, right. So CMS rule; such and such says that -- the following, and then they can go look it up. So we're very specific in the feedback. And you know, we're doing it -- trying to do it real-time, so -- and we're integrated to their working system. So all these other one just go out to different system if you're the coder to get feedback to; so that's how we differentiated ourselves to be in the true flow and we haven't seen a competitor yet that does it at the same time or is this flexible in building rules for an organization, a lot of them are very cumbersome; we've built kind of a rule editor that hopefully a laid person or a smart coder could build their own rules and -- rather than kind of a convoluted process that you might have if you're on older technology.
Kyle Davis: Alright, that sounds great. Have there been any conversations with Optum360 yet about expanding that relationship to add-on CORE and eValuator?
David Sides: We've -- so of course we've talked to them about that we're working on expanding kind of our existing abstracting relationships. First, that we welcome the opportunity to work with more on the expanded eValuator and CORE as well; those are currently solutions that they don't offer at which we think we can help fill the gap there and fill nicely for them with integration to their existing solutions that where they can implement, they don't even have to call us, we'll make it as easy as possible.
Kyle Davis: Great. So in that instance are they using a different solution to offer there? Would -- is there so you might have to displace or is that a greenfield opportunity?
David Sides: We may have to, it could be greenfield but it would depend on what the client has. So in some cases, it's greenfield, in other cases there is an opportunity there but it varies; I don't think we've seen a pattern yet but we'll see on that as the opportunity goes forward.
Kyle Davis: Okay, alright. That's all for me, thanks gentlemen.
Operator: And at this time, I would like to turn the conference over to Mr. Salisbury for any additional or concluding remarks.
Randy Salisbury: Well, thank you again for your interest in and support of Streamline Health. If you have any additional questions or need information, please contact me directly at randy.salisbury@streamlinehealth.net. We look forward to speaking with you again in September when we'll discuss our second quarter 2017 financial performance. Good day.
Operator: Ladies and gentlemen, that does conclude today's presentation. We do thank everyone for your participation. You may now disconnect.